Operator: Good day and thank you for standing by. Welcome to the Hubbell Incorporated Third Quarter2021 Results Conference Call. At this time, all participants are in a listen-only mode, after the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Dan Innamorato, Senior Director, Investor Relations. Thank you. Please go ahead.
Dan Innamorato: Thanks, Paul. Good morning everyone and thank you for joining us. Earlier this morning we issued a press release announcing our results for the third quarter 2021. The press release and slides are posted to the Investors section of our website at hubbell.com. I'm joined today of our Chairman, President and CEO, Gerben Bakker; and our Executive Vice President and CFO, Bill Sperry. Please note that our comments this morning may include statements related to the expected future results of our company and are forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Therefore, please note the discussion of forward-looking statements in our press release and considered incorporated by reference into this call. Additionally, comments may also include non-GAAP financial measures, those measures are reconciled to the comparable GAAP measures and are included in the press release and slides. Now let me turn the call over to Gerben.
Gerben Bakker: Great. Thank you, Dan and good morning everyone and thank you for joining us to discuss Hubbell's third quarter results. You've likely seen our press release announcing the definitive agreement we reached to sell our Commercial & Industrial Lighting business and we'll give you some further commentary on that in a couple of minutes. But let me start my comments with some key takeaways for the quarter. First as you're here, throughout this morning's presentation, demand remained strong. We continue to see broad based order growth across markets and businesses within both segments. Year-to-date, our orders are up approximately 30% and our third quarter ending backlog was up over 60% versus prior year. In our Electrical segment, strong demand is being driven by recovery in industrial markets, as well as pockets of strength in verticals like telecommunications, solar and industrial manufacturing. In our Utility segment, orders continue to accelerate sequentially, driven by ongoing grid hardening and modernization investments. As we noted in this morning's release, supply chain disruption affected our production and shipment levels in the third quarter, leading to further backlog build a strong order rates continue to outpace sales. While we expect these headwinds to persist in the fourth quarter, we are confident that we are serving our customers effectively throughout this dynamic environment. We have been aggressive in qualifying alternate sources of supply for key components, paying premium rates to expedite materials and reallocating internal resources to drive higher production and shipment output. We have also continue to take aggressive actions to drive value for our shareholders. Most significantly, we are executing unprecedented levels of price realization across the enterprise which have accelerated in pace and magnitude as the year has progressed. We achieved seven points of price realization in the third quarter, up significantly from 3.5% in the second quarter and 1% in the first quarter and we expect further acceleration in the fourth quarter and continue to project that we will be priced material positive in the quarter. Finally, we are updating our guidance to reflect third quarter results and our latest outlook for the fourth quarter. We will walk you through the moving parts in more detail, but we are modestly lowering our range versus our prior expectation based primarily on incremental supply chain disruptions to unit volume and productivity levels. This morning we announced that we reached a definitive agreement to sell our Commercial & Industrial Lighting business to GE Current for a cash purchase price of $350 million. This strategic decision positions the portfolio for higher growth and margin characteristics and enable us to expand our focus and strength in core markets where we provide reliable and efficient critical infrastructure solutions. This portfolio move will create value for our shareholders and the company. As we've talked about in the past. Lighting is an important product category to our customers and within the broader low-voltage electrical market, and we are confident that GE Current is the right strategic partner for the business going forward. Looking ahead, this portfolio reshaping will allow Hubbell to more effectively focus our strategic investment decisions on core areas of our portfolio where we have the ability to strengthen our position in markets with higher growth and margin characteristics. We see significant opportunity to accomplish this across both our Electrical and Utility segments. With our portfolio strategically aligned around clean energy mega trends and grid modernization and electrification, we are well positioned to solve critical infrastructure problems for our customers, while driving differentiated financial results for our shareholders over the long-term. We expect to deploy the net proceeds from the sale to accretive bolt-on acquisition, as well as share repurchase. As we noted in our press release, this transaction is subject to customary closing conditions and regulatory approval and is expected to close in the first quarter of 2022. Let me now turn it over to Bill to give you some more context around our financial results for the quarter.
Bill Sperry: Thanks, Gerben. Good morning, everybody. Hope those of you who here in the New York area are enjoying the Nor'easter here. I'm going to start my comments on page five, and there really are three recurring themes, they're going to go through the overall results, as well as breaking it down by segment. It starts with the V-shaped recovery in demand, which we're experiencing very broadly across both segments. Second is the inflation being driven by that demand, that's resulting in our pricing strategy, quite aggressive and getting great traction and good stick rates and will talk more about that. And third is the physical disruption that's coming from the uncertain supply of labor and materials, it makes it harder to plan to shift and has both capacity constraints, as well as inefficiencies and you'll hear that throughout our comments. So on page six, will show the results for the enterprise, sales up 9% to over a $1.2 billion. I think it's important for me to unpack the drivers of that sale - of sales levels. There is more unusual drivers here than is typical. So we've got starting with acquisitions at 3% that is quite normal. We've got acquisitions across both segments. We're very pleased with the exposures, we have acquired in these situations. On the Electrical side, we've gained exposure to the communications components as part of 5G rollout. On the Utility side, we've added enclosures capacity, high growth, high profit area, as well as controls and protection inside of distribution automation area. So that - those three points, we're quite happy with where we've invested there. In addition to the acquisition there's seven points of price, I'd say that's the unusual piece. And so as you do the math, you'll see that volume is actually down a point in the quarter and that has some impacts ultimately on margins here. So, going over to operating profit, you see a 4% decline to $174 million, compared to the prior year and that's result of the volumes being lower and the price cost drag, as we continue to get price, the cost inflation continues to drive up quarter-over-quarter. As we look at the OP sequentially from second quarter to third quarter, we see that the OP dollars in percent are reasonably flat, which is suggesting that the incremental price is equal to the incremental inflation. And so we'll get ahead of that as soon as we see moderation on the inflation side and as Gerben saying, we're expecting that now and in the fourth quarter. On the earnings per share side, down a similar percentage as the operating profit down 3% to $2.24. And on the free cash flow side, generating $70 million, you see that's below last year's levels, last year's situation quite different where we were actually harvesting working capital, and in this case with the V-shape recovery we're investing very heavily in areas like receivables and inventory to make sure we support the growth of the business and our ability to service customers. You'll see as we get to the full year outlook still confident in free cash flow generation. We announced, as I think all of you saw last week an increase in the dividend, high single-digit increase in our dividend rate. I think that's a good sign for you all of our confidence in the free cash flow generation and we are anticipating quite a strong fourth quarter of cash flow performance there. So now let's disaggregate into our two segments. We've got our products and solutions positioned behind the meter and in front of the meter to the edge. We'll start with the behind the meter business, which is Electrical Solutions. And you can see the Electrical team had quite a nice quarter here, a 11% sales growth to $612 million and 9% operating profit growth to $76 million. Again, I think important to unpack that sales drivers of the 11%, we have about 1% from acquisitions and 8 points of price, which results in about 2% increase in volume. And where we're seeing the strength coming on the sales side is really led by Industrial. We're seeing strength in heavy Industrial, which has some steel applications. I think you've been noticing some of the profit reports of some of the steel manufacturers. We've also got on the lighter Industrial side applications in communications and solar, those verticals providing quite a lot of growth and the Harsh & Hazardous business in Industrial serving the oil markets also seeing strength there. So the exception on the non-res side has been on the C&I lighting area, where we've had, I think, as we've talked with you all before, an important driver of market growth has been the national account business, namely big-box retailers and quick-serve restaurants. When they roll-out projects across their real estate portfolio, big drivers of volume and those discretionary projects have been a little slow to restart. They've also had - the chip shortage has affected the Lighting business volume. But the 9% growth in operating profit, driven by the couple of points of volume, which is creating drop-through. We're seeing productivity and restructuring tailwinds and the price material, we've gotten a price here in the segment. The Electrical team is a little bit ahead of the Utility team. They've neutralized the inflationary effects of materials, but to stop at neutralizing the dollars leaves a percentage margin headwinds. So the - and the inefficiencies of the supply chain costs. But a strong quarter there for our Electrical team in getting price and satisfying customer demand to drive an increase in profit. On page eight, we have the Utility Solutions results for the quarter. You see 8% increase in sales to $600 million for the quarter and a 12% decline in operating profit to just under $100 million. Again, as we unpack that sales number, of plus 8, acquisitions drove 6 points and price drove another 6 points. So our volumes there were down 4 points. Now let's talk a little bit about two different elements of the Utility Solutions segment. First is the T&D component area, comprised of the transmission and distribution component business, Hubbell Power Systems legacy business, as well as the gas distribution, that last mile of components in the natural gas area. Both of those business lines experiencing very strong orders, sales of double-digit growth, and yet the orders were even higher than that, and we were actually building backlog there and the labor shortages, both at hourly and supervisory levels continuing to impact ultimately the capacity as well as some component shortages, material shortages. Notable area would be resins going into our enclosures products. On the Communications & Controls, again, on the - you've got the Aclara side, which is the advanced metering infrastructure and the meters themselves, as well as the distribution automation products. The Aclara order book continues to grow very handsomely. We've had $200 million of orders a quarter all year. That's been steady and improving, showing a very healthy demand. Aclara team not able to satisfy all that, as the chip shortage affects their ability to assemble the final products and get those shipped out. So the operating profit, the price that we've gotten there of 6 points still is resulting in a drag relative to the material headwinds of about 3 points, that's similar to the drag that we experienced in the second quarter. And again, the team keeps getting price, it's about equal to the incremental inflation. So it's waiting to catch up and we're anticipating a big fourth quarter of pricing in Utility. And that combines with some of the inefficiencies coming from lower volumes and supply chain to drive down the profit in that area. So we thought it would be useful to put together a picture on Page nine of our full year outlook. And you can see that on the sales side, we've raised and tightened the sales range up to 12% to 13%. We're anticipating 5 points of price for the year, which implies close to double digits in the fourth quarter. That's an important exit point, I think, and the acquisition has given us 3 to 4 points there. The earnings per share at $8.30 to $8.50 in recognition of third quarter performance and what we expect in the fourth quarter. And cash flow, we're anticipating to be around 100% of adjusted net earnings, and that's in recognition of the increased investment in receivables and inventory that we anticipate. On the right side, we wanted to share with you some of the actions we've been taking and try to illustrate why we think we're setting ourselves up for a strong '22. And it starts with the inflation we've experienced on materials and inbound freight. That's been at about a 15% clip. And you see a significant drag of 6 points to our margin from that. The response has been to pull price, and as that's progressed quarterly from about 1 point in the first quarter to 3 points in the second to 7 points in the third to 10 points in the fourth, we're seeing very good stick rates. We're very confident in those price increases. And so you see that we clawed back $200 million in price. But having - ending the year with a 10% pull and a 5% average, you can see the kind of magnitude of price, cost tailwind that we're anticipating next year. And again, that's as soon as cost would be to flatten out. You certainly can see the wraparound of price that we'll get. The next headwind comes from cost inefficiencies and productivity, where some of the shortages of labor and materials causes us to be inefficient and spend more money. And we've overcome that with our productivity and restructuring activities. This green bar up 100 basis points, has got contributions both from savings from investments we made last year and spending at a slightly lower level this year. Just to remind you, we had about $30-ish million of restructuring spend last year, we're anticipating around $50 million this year. And then volume at the end where our products are going to earn their fair share, but we also think we can supplement that with investment in acquisitions. So for each of the headwinds that's thrown at us of inflation or supply chain disruption, we feel we've got effective management levers to offset those and again, set us up into a positive 2022. So with that, I'll turn it back to Gerben.
Gerben Bakker: Great. Thanks, Bill. And while we're not providing specific guidance for 2022 at this point in the year, heading into '22, we believe we are well positioned as we expect continued strength in our markets and operational tailwinds to drive strong results. Near term, above-average levels of backlog visibility gives us confidence in continued demand momentum into the early part of '22. While we do expect orders to taper as supply chain conditions normalize, our businesses are exposed to secular trends in grid modernization and electrification, which we expect to drive sustained market strength over a multiyear period with GDP plus growth. Operationally, we expect significant carryover benefit from price realization, which should more than offset carryover material inflation into 2022. While we expect certain supply chain headwinds to persist into next year, we will continue to actively drive productivity actions to mitigate and are confident in our ability to drive overall adjusted operating margin in 2022. We're also confident in our ability to drive strong free cash flow generation next year to progress on working capital efficiency. We have a strong balance sheet and anticipate investing excess free cash flow to generate attractive returns for our shareholders to support our long-term capital deployment strategy. Finally, we believe that this morning's non-divestiture drives a reshaping of our portfolio towards higher growth and margin profile, further enabling us to deliver differentiated performance and long-term returns for our shareholders in '22 and beyond. So with that then, let's maybe turn it over to Q&A.
Operator: [Operator Instructions] Your first question is from the line of Jeff Sprague with Vertical Research. Your line is open.
Jeff Sprague: Thank you. Good morning, everyone. Thanks for the additional detail here today.
Gerben Bakker: Thank you.
Jeff Sprague: Good morning, first on the lighting Gerben, congrats on that. I guess you'll be glad we stop pestering you on that now going. But can you share a little bit - well two things. That revenue number looks lower than the revenues you reported in the segment. Are you keeping a piece of the business And secondly, can you give us a little bit of color on the profitability of the piece you're selling so we can kind of understand kind of the earnings ramifications of the exit pre your redeployment of the proceeds?
Gerben Bakker: Yes Jeff, let me - maybe we'll tag team this with Bill, and I'll answer certainly the first question. You're right to point out that the revenue is reflective of the C&I portion of our lighting business. And those have been with us for a long time. This used to be a group in it by itself lighting over the last couple of years as we spent a lot of time in these businesses, restructuring them, realigning them. We really split those two things up because they're very different businesses, the C&I business from the residential business. So you're right to point out that it's only a portion of the overall lighting business that we're selling here today. And maybe I'll make one more comment on what will probably be some other questions on this is, as we look for and we have talked a lot about you about lighting. One of the key responsibilities of this leadership team is to strategically manage our portfolio. This happens through acquisition and growth, and this happens to divestitures and rationalization. And I certainly talked in the past about the efforts on the latter. We're taking very aggressive action on a SKU rationalization. We talked about how we're doing that much more scientific today. We've taken product lines that were more valuable to others out. We did that two in the last couple of years, one in high-volt business in electrical. Earlier this year, we took our consumer engagement business from Aclara. And now you see a larger one. So what I'd say this work continues on both sides. And the end result strategically for us is to drive a higher growth, higher-margin business out of this. So I think Bill, maybe you can give some color on the profitability of this.
Bill Sperry: Yes, so Jeff, the C&I side of the businesses, which we sold has been - earning in the high single digits of EBITDA. And that's what it would contribute in a year.
Jeff Sprague: Okay. And on the wraparound price right, that is pretty obvious and quite a number. Certainly, probably none of us have seen in our careers. But I wonder the confidence on the inflation side. I mean, do you actually see some visibility that there is some actual relief on the COGS side of the equation or is that just kind of a supposition at this point?
Gerben Bakker: Yes, I don't know that we see relief, I do think we've seen some moderation, and I'd maybe differentiate between materials, which had been pretty steeply inflecting starting in last year's fourth quarter through the first two quarters of this year. We started to see some signs in the third quarter of some moderation there. And then that was backfilled unfortunately, by transportation costs, container costs for our inbound freight. And so that caused the inflation really to persist through the third quarter. And so I think on the material side, our biggest is steel Jeff, and you're starting to see some evidence of that flattening, which should be really welcome. A lot of the forward analysis I've been reading is talking about costs actually coming down, but that's not something we've been banking on. And so we're - a plateauing is where are lapping would allow us to get some tailwind.
Jeff Sprague: Yes, so probably the bigger question then on the margin bridge when we - when you bridge us in 2022 is going to be these questions of just availability and factory inefficiencies and the like there. Do you see any kind of any relief there or any kind of improvements in your ability to predict and schedule production effectively or?
Gerben Bakker: Yes, I would say, first of all I agree with you. We try to take two bars, which have the huge magnitude. And if we can get the red one flattened, we know the green is going to be positive that would be great because you can see how the inefficiencies are a much smaller problem. And in terms of productivity and restructuring investing, we can overcome those. More specific to your question, I think on the labor side, we have seen some improvement. A little more reliable, reliability in terms of when people are going to show up and being able to schedule a sell and a shift properly. The materials though continue to be less reliable, I would say. And it's a little bit challenging, Jeff, because I would argue that our vendor base hasn't been the best at communicating what we should be expecting they kind of surprise you and say you're on allocation one day and then take that down the next. And so, it just takes a lot of energy to evaluate other alternative supplies and to maybe design around some of those problems and shift resources around. So I think, we are seeing that persist through the fourth quarter. But it's just something we have to navigate through.
Operator: Your next question is from the line of Steve Tusa with JPMorgan. Your line is open.
Steve Tusa: What are you seeing in terms of like construction projects and potential deferral due to inflation anything there?
Bill Sperry: I mean, for us, the - our non-res has got lighting in it as well as wiring and connector type products. The lighting, we're thinking, which is showing some softness, is a little more driven by the large national account stuff fees, like rolling out a quick service restaurant program amongst your franchisees. But the rough in electrical and those type products that are construction based have actually been pretty steady, actually for us. I don't know that I have a super keen insight beyond that, but those non-lighting non-res has been okay.
Gerben Bakker: Yes and maybe just certainly, so far this year, our sales have been selling through. And I would agree Bill, that we haven't seen a lot of movements to the right project. As a matter of fact, we could be selling more if we could get through all those supply chain issues right now. There is certainly a part of the order rate that isn't sustainable. Probably tied more to lead time push out to customers trying to secure supply so, we do expect at some point the order rate to come down some. But we're not seeing a lot of movement to the right at this point.
Bill Sperry: Yes maybe said, if you put a little math behind what Gerben said Steve, we got orders up 30%. Don't know that 30% of shipments could be absorbed, but certainly more than the 11%, 12% sales that we have could be absorbed. So that's kind of - I know maybe that's a pretty wide goalpost, but that's kind of what we're seeing.
Operator: Your next question is from the line of Tommy Moll with Stephens. Your line is open.
Gerben Bakker: Good morning, Tommy.
Bill Sperry: Let's go to the next one, operator I think…
Gerben Bakker: Tommy if you're talking Tommy, we can't hear your question.
Operator: Okay. I'll proceed with the next person in the queue. Your next question is from Josh Pokrzywinski from Morgan Stanley. Your line is open.
Josh Pokrzywinski: Yes, that's me. Good morning, Gerben
GerbenBakker: Welcome, Josh.
Josh Pokrzywinski: So maybe first question, I know lighting is sort of kind of bottom of the list in terms of price cost over time. I guess, Bill, maybe first, what would that - those two bars look like this year kind of pro forma for the absence of lighting? Does that situation improve in its absence?
Bill Sperry: Can you say it again?
Josh Pokrzywinski: That if I look at on slide 9. The red and the green bar for...
Bill Sperry: Yeah.
Josh Pokrzywinski: Price and material inflation this year. What do those look like x lighting? Like does that relationship start to get closer? It seems like that business historically struggled a little bit more on price maybe versus the rest.
Bill Sperry: Yes. I would say they probably aren't prone to any more inflation than the average other than for the LED product, the chip availability has been a shortage problem. But I would say you're right that in terms of price, they've not been able to pull. So in a - that's been - that's caused some of the SKU on the year.
Josh Pokrzywinski: And then just on the inflation wrap, we spent a lot of time on the pricing wrap, which all very helpful. But is there anything kind of contractual or specific to a year-end cycle where the roll into 1Q or first half is higher than the 4Q exit rate just based on something that's lagging? Or do you guys kind of at the run rate on inflation in 4Q, do you think?
Bill Sperry: Yes, I would say not materially. And again, as a LIFO accounting company, we're kind of recognizing that most recent cost in our runs. So we're sort of subject to that most recent price.
Gerben Bakker: Yes, I'd say maybe a little different from traditional ways of pricing where you come to the year-end and consider your inflation and reprice from that very similar to how we would have done it in a year like this, that's gone out the window. I don't think there's any company that's waiting for year-end to do it, but pricing throughout the year as they need it. And that's what we see.
Josh Pokrzywinski: And then just maybe one last one, if I could. Distributor inventory is maybe a little harder to see in Electrical, and I think probably fragmented across some of your end markets. Would those guys take more inventory if they could get it? Or kind of some specific stuff they're looking for?
Bill Sperry: No, they would take more, and they would take more at a higher price, too.
Operator: Your next question is from the line of Christopher Glynn with Oppenheimer. Your line is open.
Christopher Glynn: So just curious, the slight down on the unit volume, do you have an estimate or hard knowledge or viewpoint on what percent impact volume was held back by the supply chain issues?
Bill Sperry: Yes. I mean, we don't - I don't know that we have science around it. But as we see the backlog pick up and we see everything selling through, I think it's clear that if we were making more stuff, it would sell through. And just when you see things like the sequential volumes not picking up much in the third and trying to be a little bit flatter in the fourth, you start to get a feel for - we got to get material in the plant and people in the plant to ramp that up a little bit, Chris.
Christopher Glynn: And on the 10% price or so in the fourth quarter versus 5% for the year is our analysis is simple as taking that difference and saying you're going to get 5% price next year? Or is there something that makes that too simple?
Bill Sperry: Yes. I mean it wraps around if you did it by quarter. You could say that there's going to be more impact in the first quarter when we only got kind of a point this year, slightly lesser in the second and kind of stepping down. But then you get back to Josh's question right, which is - and Jeff's question, right, which is if inflation persists in either materials or transportation, we'll keep pulling on the price lever. So it's kind of a dynamic compare, but I think if you were smoothing it not by quarter, but just by the year, and we stopped our actions right now, yeah, you'd see about a 5% ramp
Christopher Glynn: And just curious, the backlog you look at right now or maybe using that to project year-end. How do you see - like what's the size of backlog that's kind of abnormal? I think Aclara is really your only core backlog business. Just want to get a sense of that magnitude. Is it a couple of hundred million, for instance, that you would call abnormal backlog or?
Bill Sperry: Yes, I'd say there's two businesses that have pretty long-dated books, right? One is, Aclara, as you mentioned, the other is the gas component business, which has long lead times that customers are looking to schedule their projects in. And so when you normalize for that, you get a really big increase in backlog, a few hundred million. And I think what Gerben's suggesting is the 30% order rate seems unlikely to be the sustainable order rate. And so when price increases and supply chain start to normalize my guess is that order rate starts to normalize a little bit as well. But it's essentially taken our backlog from kind of six weeks to 12, right, is effectively what's happened. So it's almost given us a full quarter of the visibility basically.
Christopher Glynn: Okay, great. And last one for me. Any demand elasticity in any material areas from the price that's coming on?
Bill Sperry: I had trouble hearing you. Sorry, Chris.
Christopher Glynn: Yes, sorry. Just wondering if you're seeing any elasticity as you're putting price in?
Bill Sperry: Yes. I'd say the price stick is pretty broad across the board. The electrical distributor channel is welcoming the price increases. They're eager to push them through and they're not seeing any elasticity. I think on the utility side, it's been lagging by about a quarter to that rate. But again, I think we've had six price increases to utilities during the year. And a typical year we would get them at the blanket season, which is about this time of year. So it's quite unusual kind of pace and sequencing. And it's almost, Chris, more operational where the channel needs enough time to process the increase and get it adequately into their system rather than you can't just call them and jam it too quickly. So I'd say there's little elasticity with well-communicated processes.
Operator: Your next question is from the line of Tommy Moll with Stephens. Your line is open.
Tommy Moll: Hi. Am I live now?
Gerben Bakker: Yes, we can hear you Tommy, we just couldn't hear you before. Sorry.
Tommy Moll: No big deal. Thanks for taking my questions. I wanted to start on the Lighting divestiture, a couple of questions there. You indicated the proceeds you plan to deploy for bolt-ons or share repurchases. Fair to discern that there's no large deal in the M&A pipeline from those comments? And then second question on the divestiture. You indicated it is part of the strategy to drive higher margins, higher growth rates, et cetera, across the portfolio. This is a pretty meaningful step on that journey. Any other big opportunities in front of you, say, in the next year or so that you want to call out for us on that same journey?
Bill Sperry: Let's start with the first question which is, should we assume that there's nothing sizable that we could do. I would say that would be a bad assumption. I think the pipeline has a typical spread, Tommy, of $30 million to $50 million kind of averages, but there are larger situations that we're looking at. And we certainly have both cash from these proceeds, cash on the balance sheet, cash flow and then a little bit of powder in the balance sheet itself. So I don't think you should assume that we don't have larger things. And then as far as future actions, I think if you looked over the last couple of years, we've sold a high-vol test equipment business a couple of years ago. We sold earlier this year in Aclara consumer engagement business and now this definitive agreement on C&I Lighting. So I think we've shown - and Gerben mentioned kind of our management kind of diligently evaluating with a very crisp tool, SKU profitability and kind of managing proliferation there focused on innovation and new product development that would raise gross margins on kind of the organic side. And I think that we're going to continue to evaluate opportunities both on the investment side and the divest side. So I think we've shown that over the last couple of years, and I think that's just how we just view that as our responsibility to keep evaluating that, Tommy.
Tommy Moll: So maybe following up on that same thing, Bill, in terms of the organic opportunities to drive above benchmark growth and drive higher margins. Some of the growth opportunities you've called out in the past include renewables, for example. But if you could just refresh us there on the organic strategy that you have in front of you in terms of the end markets where you think you could take additional share or potentially enter and what all initiatives...
Bill Sperry: Yes, we've really tried to reinvigorate and redesign the whole way we're approaching innovation and new product development. And one of the big benefits of creating an Electrical segment is the - and rather than have kind of three vertical lines of business is the ability to kind of stand up and evaluate the low voltage opportunities across all the areas of electrical and utility, sometimes sharing that R&D, sometimes sharing that marketing is really, I think, been a very invigorating new approach that we've taken since we announced the new Electrical segment. And so I think areas like renewables, things in data centers, areas around electric vehicles. I think all of those represent really interesting organic opportunities for us that we're planning on pursuing.
Operator: Your next question is from the line of Nigel Coe with Wolfe Research. Your line is open.
Nigel Coe: So just on lighting, back to lighting, I was a little bit surprised just the C&I portion was sold. What was the logic for divesting C&I but retaining residential at least at this moment? And the spirit of the question is that some of your peers have been selling lighting assets and they've been sold lock, stock. So just wondering, especially just in full disclosure, I will view the residential business as less strategic at Hubbell in C&I so just curious why selling C&I and retaining residential?
Bill Sperry: Yes, I think it starts Nigel, with the fact that the businesses are quite different. So the C&I business is an integrated one. It has plants. It has an agent front end that goes to the channel and to the projects versus the resi is a purchase for resale business. There's no manufacturing side to it that we have. And the customers are not the ED channel they are big-box retailers, homebuilders, showrooms and a very vibrant e-commerce channel. So we have been running the businesses differently. Yes, they're both lighting, but I hope through that brief description, they're really not that related. So when we were approached by a strategic, the interest was in the C&I side. I think there's quite a compelling story that, that strategic has to make about being, I think a really well-balanced competitor going forward. And so that's why we did it that way.
Nigel Coe: Okay, that's perfectly clear. And then Bill, on the mechanics of the sale, I mean do the earnings drop just go up before the sale or does that happen on the sale? I mean, do you have just to discontinue this business? And then when we think about the redeployment, doing the math around that, are the proceeds on a net basis, lower? I mean I think you've had this business quite some time. Is there a tax check to run here?
Bill Sperry: Yes, the tax friction is quite modest. And so, there's not as much friction as you might think. And so, I think you can run models of different mixes of share repurchase versus acquisition and you'll be close.
Nigel Coe: Okay, that's great. And then just any changes on the - on your sourcing around or the supply chain friction? I know you've historically brought in a fair amount in China. I think that's mainly on lighting. So I'd be curious if that's changing with this divestment, but any big change in the supply chain?
Gerben Bakker: Yes, I would say not materially. Those places where we source offshore, there's certainly a cost benefit even with some of the supply chain headwinds they remain. We have in certain cases, moved suppliers. I talked about it earlier. Bill talked about that where we've really been hit hard at times where we had sole supply and times where we had it to create some pretty critical suppliers just stopped supplying a lot of effort has gone into a second sourcing. And I think that will serve us well going forward. We have moved around, and this truthfully even was before this current situation when we had the tariff situation. We do have manufacturing footprint across the globe and the ability to shift that. So we have re-shored some there, but I wouldn't say whole scale big changes in our strategy. They are more in areas where we need the supply that we've either resource with their redesigned materials in certain areas and moved footprint. And that gives you - should give you a sense of the intense focus that has gone through solving this, right. So even if you think about engineering resources that would normally be working all their time on developing new products, a portion of that time is going to just finding alternate sources, qualifying alternate sources, redesigning some parts to get them, and it's really dynamic. But I can tell you this organization is stepping up to solve these issues.
Nigel Coe: And then just one more if I may. Slightly unfair question, but it would be interesting to get an answer from you guys. I mean are these challenges on manufacturing, labor, supply chain, et cetera, are they leading to any share shifts around either with your competitors or even as you supply the channel, are you allocating to certain distributors, but not others? I mean any sort of significant shift we should bear in mind?
Bill Sperry: Yes, I would say in our business, Gerben I spent time with the leaders of our biggest customers. The consistent message we're getting back is that we're doing as well or better than our competition. It feels not great to us to have the backlog build so dramatically. We'd love to be satisfying that. But the feedback we're getting and they would, be I think, straightforward about that if we were somehow lagging. And so, I think that we're holding more than our own is what it feels like despite the backlog really gapping out, Nigel.
Operator: And your last question is from the line of Chris Snyder with UBS. Your line is open.
Chris Snyder: I just wanted to follow-up on commentary around portfolio reshuffling and then specifically within that, the residential lighting business. And I guess the question is should we view the residential lighting business as core? I understand commercial, industrial and residential are run separately kind of for the comments? But the company has exited about two-thirds of Hubbell lighting by my math. And then commentary around wanting to push into higher margin, higher growth verticals may suggest that resi lighting is not core. Any color there?
Gerben Bakker: Yes, I would say Chris the one thing is to think - comfort and the fact that we're looking hard at our portfolio. We do, as I stated before, we look at that from a SKU perspective, we look at that from a product line from entire businesses and it's the growth profile of it. It's the margin profile of it, and it's a strategic fit long-term for our business. And that's resulting is our stake in portfolio actions on exiting or divesting, but it's also taking actions on adding to the portfolio. So, what I'll tell you is that work is very active in our company. And certainly, when that results in big moves, we will continue to have dialogue with you about it.
Chris Snyder: Thank you for that. And then just secondly, I really appreciate the detailed 2021 margin walk in the slides. It's really helpful. And I think the company said that you expect to be price material neutral in Q4. But I guess when should we expect kind of total price cost neutrality in normalized incrementals to return along with that?
Bill Sperry: Yes, so we - in materials, we include inbound freight. And so, if you're just saying price versus material and inbound freight, that's where we expect to exit the year with being ahead. And then we kind of take productivity and we net that against non-material inflation, wages and the like. And that's kind of the paradigm that we set up. So if you're saying - if your question was around price material, that's what we think will be overcoming by the end of the year.
Operator: And that ends our Q&A session for the call. I'll hand the conference over back to Dan Innamorato for closing.
Dan Innamorato: Thanks, operator and thanks everyone for joining us. I'll be around all day for any follow-up questions.
Gerben Bakker: Thanks.
Bill Sperry: Thank you everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for joining. You may now disconnect. Have a great day.